Operator: Good morning, and welcome to Public Service Enterprise Group Incorporated's Fourth Quarter and Full Year 2025 Earnings Conference Call and Webcast. Ladies and gentlemen, thank you for standing by. My name is Rob, and I will be your operator today. At this time, all participants will be in listen-only mode. Later, we will conduct a question-and-answer session for members of the financial community. At that time, if you have a question, you will need to press star then the number one on your telephone keypad. To withdraw your question, press star then the number two. If anyone should require operator assistance during the conference, please press star then zero. As a reminder, today's conference is being recorded today, February 26, 2026, and will be available for replay as an audio webcast on Public Service Enterprise Group Incorporated’s Investor Relations website at investors.pseg.com. I would now like to turn the call over to Carlotta Chan. Please go ahead.
Carlotta Chan: Good morning, and welcome to Public Service Enterprise Group Incorporated's Fourth Quarter and Full Year 2025 Earnings Presentation. On today's call are Ralph LaRossa, Chair, President and CEO, and Daniel J. Cregg, Executive Vice President and CFO. During today's call, we will discuss non-GAAP operating earnings, which differ from net income as reported in accordance with generally accepted accounting principles (GAAP) in the United States. We include reconciliations of our non-GAAP financial measures and a disclaimer regarding forward-looking statements on our IR website and in today's materials. Public Service Enterprise Group Incorporated's earnings release, attachments, and slides for today's discussion are posted on our IR website at investors.pseg.com. We will also discuss forward-looking statements and estimates that are subject to various risks and uncertainties. Our 10-Ks will be filed later today. Following our prepared remarks, we will conduct a 30-minute question-and-answer session. I will now turn the call over to Ralph LaRossa.
Ralph LaRossa: Thank you, Carlotta. And thank you all for joining us to review Public Service Enterprise Group Incorporated's fourth quarter and full year 2025 financial and operating results and our financial outlook for the year ahead, and our long-term projections through 2030. But before I dive in, I would like to thank our employees who, once again this past week, prepared and restored our system from yet another intense combination of winter weather and single-digit temperatures that brought over two feet of heavy snow and 60-mile-per-hour winds to our service areas in New Jersey and Long Island. I cannot say enough about our crews' dedication throughout this entire winter season working in freezing conditions to keep the lights on and our customers warm. Now, starting with our financial results, Public Service Enterprise Group Incorporated reported net income of $0.63 per share for the fourth quarter and $4.22 per share for the full year of 2025. Our non-GAAP operating earnings were $0.72 per share for the fourth quarter and $4.05 per share for the full year of 2025. Also, earlier today, we announced our dividend declaration for 2026, setting the indicative annual rate at $2.68 per share. This is a $0.16 per share increase, an increase of approximately 6% over last year's dividend and higher than last year's increase of $0.12 per share, all reinforced by our confidence in our long-term projection. Starting with operations, on 02/07/2026, we had a seasonal gas send-out peak when temperatures dipped below 10 degrees Fahrenheit, registering the fifth-highest send-out in our history. During that same cold snap, PSE&G's appliance service business responded to nearly 2,000 no-heat calls per day compared to an average of 600 calls on a typical winter day, and our electrical systems also performed well, with a comparatively small group of customers affected, and PSE&G was able to restore service to virtually all customers within 24 hours. Beyond the storms seen in 2026 to date, Public Service Enterprise Group Incorporated's full year results for 2025 were achieved while facing multiple severe storms and extreme weather events throughout the year that stressed our electric and gas systems. PSE&G's response, guided by our operational excellence model, achieved excellent results in safety, reliability, and customer satisfaction measures. I am also very proud of the work Public Service Enterprise Group Incorporated is doing in support of New Jersey's efforts to minimize utility bill increases. Last July, we implemented several summer relief initiatives in cooperation with New Jersey regulators to help our customers manage the impact of PJM-related electric supply costs that PSE&G passes through to customers. The latest example of our efforts occurred on February 1 when PSE&G held its residential gas rate flat for the remainder of the winter 2025 through 2026 heating season. Extending the stability of our gas rates further highlights PSE&G's favorable residential gas bill profile, which is not only the lowest cost in the state, but also the lowest in the region. And there is more good news to report on the customer front. Earlier this month, the New Jersey Board of Public Utilities approved the results of the latest electric supply auction known as the Basic Generation Supply Auction, or BGS, which will result in a 1.8% reduction in the average monthly bill for PSE&G residential electric customers starting June 1 when seasonal electric use is at its highest. Over the next several months, we will introduce even more ways to help our customers manage and save on their utility bills with increased budget billing education, new time-of-use rates, and more energy efficiency solutions. PSE&G also received approval to extend the three-year GSMP II program, which will continue our efforts to reduce methane emissions, a powerful greenhouse gas. We know that our cumulative progress from these programs has reduced our methane emissions by over 30% systemwide from 2018 levels. And recent winter weather has validated how effective our gas system investments have been by reducing both the number of pipe breaks and low-pressure issues compared to similar low-temperature events in the past. Our operating performance continues to be a positive differentiator in the state and the region. PSE&G received the 2025 ReliabilityOne awards for Outstanding System Resiliency, Outstanding Customer Engagement, and, for the 24th year in a row, Outstanding Reliability Performance in the Mid-Atlantic region. PSE&G ranked number one in customer satisfaction among large electric utilities in the East Region, according to the J.D. Power 2025 U.S. Electric Utility Residential Customer Satisfaction Study. PSE&G ranked number one in customer satisfaction among large electric utilities in the East Region according to the J.D. Power 2025 U.S. Electric Utility Business Customer Satisfaction Study, marking the fourth consecutive year PSE&G has earned the top position in this segment. And PSEG Long Island, yes, PSEG Long Island ranked number one in customer satisfaction among large electric utilities in the East Region, capping an eleven-year rise from the bottom of the rankings since PSEG Long Island took over the operation of the electric grid on Long Island. And by the way, PSE&G was number two in that same study. Finally, PSEG Long Island was awarded a five-year contract extension to continue as the electric transmission and distribution operator on Long Island and the Rockaways through 2030. We look forward to continuing our constructive partnership with LIPA that has enabled us to become the best performing overhead electric service provider in New York State and, like PSE&G in New Jersey, a top performer nationally for reliability and safety. 2025 was a successful year for our company, both operationally and financially. 2025 was a successful year for our company, both operationally and financially. PSE&G executed on its capital plan, investing approximately $1 billion in the fourth quarter and approximately $3.7 billion in total for the year, in regulated capital spend. On the generating side, PSEG Nuclear posted a 91.2% capacity factor for the full year, producing approximately 30.9 terawatt-hours of 24-by-7 carbon-free baseload power for the grid, including during the intense June 2025 heat wave when New Jersey needed it most. Public Service Enterprise Group Incorporated's non-GAAP operating earnings for 2025 were at the high end of our narrowed guidance range of $4.00 to $4.06 per share, extending management's track record of delivering results that either met or exceeded our earnings guidance for the 21st consecutive year. Turning to our outlook for 2026. First, we initiated a non-GAAP operating earnings guidance in the range of $4.28 to $4.40 per share, an increase at the midpoint of 7% over 2025 results. Our 2026 guidance is based on our investment program at PSE&G and expected nuclear output realizing market prices that exceed the nuclear PTC threshold. And we are approximately 95% hedged for the remainder of 2026. We will also keep to our longstanding practice of stringent cost control and continuous improvement to support affordability and benefit our customers. Regulated capital spending is forecasted in the range of $22.5 billion to $25.5 billion over the same period and supports a rate base CAGR of 6% to 7.5%, with over 90% focused on regulated investments. For the 2026 to 2030 period, $24 billion to $28 billion of regulated capital spending is forecasted, and our solid balance sheet supports execution of this robust five-year capital plan without the need to issue equity or sell assets. Second, we updated Public Service Enterprise Group Incorporated's GAAP earnings growth outlook to 6% to 8% through 2030. With these updates, we are raising Public Service Enterprise Group Incorporated's long-term non-GAAP operating earnings CAGR to 6% to 8% through 2030. This higher growth rate is supported by our best-in-class utility operations executing on a customer-focused infrastructure modernization and energy efficiency investment program. This regulated growth is supported by nuclear generation ownership, a significant cash flow generator and therefore a differentiator among our peers. Potential growth beyond our forecasted 6% to 8% CAGR range could be achieved through opportunities to contract existing and additional generating output to provide for residential universal bill credits and through incremental regulated capital investments. We look forward to constructive dialogue with the BPU on these issues, including the exploration of regulatory reform to again offset electricity supply rate increases. Now turning to the legislative front, in the past few days, a bill was reintroduced in the state legislature to establish a new natural gas power plant procurement program at the BPU and incentivize development of new natural gas power plants in the state. This gas bill pairs with an earlier bill that established a new nuclear procurement program also within the BPU that was introduced at the start of this legislative session. We look forward to working with policymakers to advance energy strategies and resources that secure affordable, reliable, and diverse energy supplies, and support legislation that would increase competition for generation supply should New Jersey decide to pursue new in-state generation. The supply-demand dynamic we are seeing in New Jersey as prompted executive orders to be issued to explore supply options. The executive orders also direct the BPU to again offset electricity supply rate increases, provide for residential universal bill credits, and through incremental regulated capital investments, including the development of an additional 3,000 megawatts of community solar and battery storage. We have been cooperatively working with policymakers since last November, and we look to help New Jersey achieve the high-priority goals of these executive orders. We have sites with grid connection capability and pipeline supplies, as well as the in-house expertise to build new supply here in New Jersey with prevailing wage labor. And as we have previously mentioned, we are well positioned to help meet that need. I will now turn the call over to Daniel, who will walk you through our 2025 financial results and the outlook for 2026. And then I will rejoin the call for Q&A.
Daniel J. Cregg: Thank you, Ralph. And good morning, everyone. Public Service Enterprise Group Incorporated reported net income of $4.22 per share for the full year of 2025, compared to net income of $3.54 per share for 2024. For the fourth quarter of 2025, net income was $0.63 per share, compared to $0.57 per share in 2024, and non-GAAP operating earnings were $0.72 per share for 2025, compared to $0.84 per share in 2024. Slides eight and ten detail the contribution to non-GAAP operating earnings per share by business segment for the fourth quarter and full year of 2025. PSE&G reported non-GAAP operating earnings of $352 million for 2025 compared to $378 million in 2024. Compared to 2024, distribution margin increased by $0.07 per share, mostly reflecting incremental gas margin from the third quarter GSMP II roll-in, an increase in the number of customers, and higher gas demand. Higher investment in energy efficiency also contributed to distribution margin in the quarter. On the expense side, distribution O&M increased $0.04 per share compared to 2024, primarily due to higher reserves related to bad debt and operational costs. Weather during the fourth quarter, measured by heating degree days, was 9% colder than normal and 23% colder than 2024. As a reminder, the Conservation Incentive Program, or CIP, decouples weather and other economic sales variances from a significant portion of our distribution margin, all while helping PSE&G promote the widespread adoption of energy conservation, including energy efficiency and solar programs. Under this CIP, the number of electric and gas customers drives margin, and the residential customer growth for both segments was approximately 1% in 2025. Depreciation and interest expense rose by $0.20 per share, reflecting higher levels of depreciable plant and long-term debt at higher interest rates. Lastly, distribution-related taxes were $0.05 per share higher compared to 2024 due to plant-related taxes and lower write-offs. On the capital front, as Ralph mentioned, PSE&G invested approximately $1 billion during the fourth quarter. And for the full year 2025, our capital spending totaled approximately $3.7 billion with continued investments in infrastructure modernization, energy efficiency, and distribution reliability and resiliency investments supporting growing customer demand. For 2026, our planned capital investment program for the regulated business is approximately $4.2 billion. Our 2026 to 2030 regulated capital investment plan amounts to $22.5 to $25.5 billion, which compares to our prior plan of $21 to $24 billion, and is expected to produce a compounded annual growth in PSE&G's rate base of 6% to 7.5% through 2030, starting from a year-end 2025 balance of approximately $36 billion, which includes construction work in progress. The $1.5 billion increase in regulated investments is primarily driven by anticipated load growth due to data centers and other new customers. We also rolled forward our five-year regulated capital plan through 2030, plus other incremental investments. These investments help us maintain our best-in-class reliability and customer service, as well as meet New Jersey's energy savings goals. Earlier this month, the BPU certified the results of the annual New Jersey BGS auction that was held to secure electricity for customers that have not selected a third-party supplier. Based on the competitive auction results, the cost of electricity supply on PSE&G residential electric bills will decline by 1.8% starting June 1, 2026. This decrease reflects the net impact of a lower overall 2026 BGS price that will replace the 2023 auction result that contained higher energy costs. Moving to 2025, PSEG Power & Other reported a net loss of $37 million for the fourth quarter compared to a net loss of $92 million in 2024. Non-GAAP operating earnings were $10 million for the fourth quarter compared to non-GAAP results of $43 million for 2024. PSEG Power & Other reported net income of $366 million in 2025, compared to $225 million in 2024, and non-GAAP operating earnings were $284 million in 2025, compared to $292 million in 2024. Referring to the fourth quarter waterfall on slide nine, net energy margin was flat compared to the prior-year quarter as higher gas operations were offset by the absence of zero-emission certificates at our 100% owned Hope Creek nuclear plant and lower generation volume due to the scheduled refueling. O&M was $0.04 per share higher during the Hope Creek refueling outage as we transitioned the unit from an 18-month to a 24-month refueling cycle going forward, which will yield additional megawatt-hours as well as O&M savings over the long term. Depreciation expense was $0.01 per share favorable compared to 2024, and taxes and other were $0.01 per share favorable compared to the year-earlier quarter, driven by a contribution to the PSEG Foundation. Interest expense rose by $0.04 per share, reflecting incremental debt at higher interest rates. Non-operating expenses were $0.02 per share higher compared to 2024. On the operating side, the nuclear fleet produced approximately 7.2 terawatt-hours during the fourth quarter of 2025, compared to approximately 7.3 terawatt-hours in 2024, mostly driven by the Hope Creek refueling outage, and for the full year 2025, nuclear generation was approximately 30.9 terawatt-hours, up slightly from 30.6 terawatt-hours in 2024. Capacity factors for the nuclear fleet were 83.7% and 91.2% for the quarter and full year of 2025, respectively. Touching on some recent financing activity, as of December 2025, PSEG total available liquidity remains strong at $2.8 billion, including approximately $130 million of cash on hand. On the financing front, in December, PSEG Power amended its existing $400 million, 364-day variable-rate term loan, which increased the balance to $500 million and extended its maturity to December 2026. Liquidity was supported by solid cash from operations during 2025, totaling more than $3 billion and higher working capital balances. As of December, PSEG's variable-rate debt consisted of the 364-day term loan at Power for $500 million, which matures in December, and our level of variable-rate debt represents approximately 6% of our total debt. Looking ahead, our balance sheet supports the execution of Public Service Enterprise Group Incorporated's five-year capital spending plan, which is dominated by regulated CapEx, without the need to sell new equity or assets through 2030 and provides the opportunity for continued dividend growth. Funds from operation to debt is projected to be in the mid-teens through 2030, comfortably above our minimum threshold. Now, before I conclude my remarks, let's review earnings drivers for 2026 as outlined on slide five. First, we are starting with a higher rate base of approximately $36 billion at year-end 2025, and that is up about 7% over year-end 2024. In addition, clause-based recoveries for investments in distribution infrastructure and CEF Energy Efficiency II are expected to contribute to utility margin. On the distribution side of the business, electric base rates for 2026 are projected to be stable. As we discussed on the third quarter call, PSE&G's annual FERC transmission formula filing was implemented on January 1, with an $82 million increase in annual transmission revenue subject to true-up. Like last year, we do not expect to book earned revenue on January 1, with an $82 million increase in annual transmission revenue subject to true-up. At PSEG Power & Other, the zero-emission certificate amounts earned by our New Jersey nuclear units concluded in May. And just as a reminder, expected generation output for 2026 is approximately 95% hedged. Our nuclear refueling cycle for 2026 includes a spring refueling at Salem Unit 2 and fall refuelings at Salem Unit 1 and Peach Bottom Unit 2. Hope Creek is scheduled for its next refueling in 2027 following the completion of fuel cycle extension work in 2025 and a shift to a 24-month refueling outage schedule. As we continue to stringently manage our controllable costs, we will see interest and depreciation expense that will rise with a higher investment balance at PSE&G and higher interest expense at PSEG Power and Parent related to refinancing maturities at higher current interest rates. In closing, we are proud to have delivered, for the 21st year in a row, on meeting or exceeding our earnings guidance, and we carry that confidence forward to our full year 2026 non-GAAP operating earnings guidance of $4.28 to $4.40 per share, 7% higher at the midpoint over 2025 results. We increased our dividend by over 6% and updated our long-term non-GAAP operating earnings CAGR to 6% to 8% using a higher baseline for the second year in a row. Earnings growth beyond our forecast is achievable through opportunities to contract our existing output and planned uprates, as well as from incremental regulated capital investment. That concludes our formal remarks. And we are ready to begin the question-and-answer session.
Operator: Ladies and gentlemen, we will now begin the question-and-answer session. If your question has been answered and you wish to withdraw your polling request, you may do so by pressing star then the number two. If you are on a speakerphone, please pick up your handset before entering your request. One moment, please, for the first question. The first question is from the line of Shahriar Pourreza with Wells Fargo.
Shahriar Pourreza: Hey. Good morning. Hey, guys. Good morning. Good morning, Ralph. How are you doing? 
Ralph LaRossa: We are good. How are you? 
Shahriar Pourreza: Not too bad. Not too bad. Busy. Busy. Can you just maybe talk about the timing of the bill, so next steps, will there be, like, an IRP process? Could there be, like, a PPA where you earn a return on the PPA, assuming a generator wins the RFP? And how do we, like, work through things like air permits and turbine queue backlogs? I guess, how do you think about this whole process around this for some time around new gas?
Ralph LaRossa: Yeah. Boy, there is a lot there. But you also answered your own question a little bit. That is your answer, Shar. Because, you know, much of it is in play, right? As you said. And many of those variables that you laid out are the exact variables that policymakers need to come to grips with. Right? So there are a couple of bills that are floating down in Trenton right now that will help enable new nuclear and potentially new gas. I think the governor already has the ability to move on a lot of solar and potentially battery storage. So the way we have been thinking about it is trying to help policymakers think through and then enable the opportunities for gas or for new nuclear. And that is really what we have been trying to do is help them think through that at this point. It does not drive the output. The IRP will make recommendations as policymakers will, in quite a few different settings, and they will be the ones that really own that as they go forward. But I think that process, again, just informs the output. We could help out with an IRP for New Jersey. We could help out with an IRP for PSEG. We do all the time on Long Island. But they are not going to be the decisions. They do not carry the word of law. Right?
Shahriar Pourreza: Got it. And then just lastly, can you just maybe help us quantify, like, what level of hedges and upside versus the PTC you are kind of embedding in that 6% to 8%? Is the bottom end of that CAGR kind of anchored in PTC out years?
Daniel J. Cregg: And so I think you are looking more at a market view to try to get you to what that out year looks like. I think that market view is supported by some of the fundamentals that you are seeing out there. And if and as that moves over time, which we would expect that it would, we will take that into account as we are making our comments and updating what is going on. But I think that is the way to think about it.
Shahriar Pourreza: Got it. That is perfect. Thank you, guys, so much. Much appreciated.
Daniel J. Cregg: Thanks, Shar.
Operator: Our next question is from the line of Nick Campanella with Barclays.
Nicholas Campanella: Good morning, everyone. Thanks for the updates. 
Ralph LaRossa: Good morning, Nick. 
Daniel J. Cregg: Thank you. 
Nicholas Campanella: You know, when you had a five to seven, you kind of talked about it being nonlinear. And now you have the six to eight, which is great to see. And I just recognize you have things like refueling outages and timing of rate case outcome at some point in this plan. So just maybe you can talk to whether this CAGR is linear or not? And you may fall within the CAGR 27, 28, and just the kind of critical drivers that people should be paying attention to here? Thank you.
Daniel J. Cregg: Yeah. So, Nick, I think, you know, we have talked about for the last three years about being more predictable. And, yes, our goal remains to be as linear as possible. But we work really hard to do that. Right? There will be structural changes that happen where we have to modify, and right now, I think the structural change has been the supply-demand curve, and we have seen that. And it has taken us above the PTC floor. So we adjusted. Our goal remains the same, which is to be a predictable, delivering the results that we said we were going to deliver. And I think we have been able to achieve that by investment. So with that is our effort to be as linear as possible. That does not mean we will be 100% linear. But I think our, you know, effort is to continue to be as predictable as we can be. And we feel confident in the plan that we put forth today.
Nicholas Campanella: Thank you. And I recognize that you forecasted the base off a higher midpoint of 26 as well. So, thank you for that. Maybe just, you also can talk about, you know, nuclear contracting. You talked about nuclear contracting to kind of put you above that range. Just maybe what is the latest thoughts on that at this point? I know the prior state administration was very focused on bringing data centers to the state. How is that kind of looking over this new administration? And just maybe anything you can offer, the most near-term things that you ought to be able to think about as this administration comes in and settles in on their views on this, and what your conversations have kind of been with customers on that? Thank you.
Daniel J. Cregg: Yeah, Nick. And I think that the story is fairly consistent. I think that, obviously, the facilities that we do have in Pennsylvania, where I think there has been a more firm view over time and more stability with respect to who has been in the governor's office there, as well as some of the smaller opportunities that we have more locally within New Jersey. And we have talked about a lot of the applications that the utility has seen. And so there is, I think, less opportunity for something of a sizable scale in New Jersey just from the standpoint of where the administration has been. To the extent that that changes and the receptivity is increased there, there could be incremental opportunity. But I think for the time being, the more fertile ground right now would be Pennsylvania for something larger and some of the smaller New Jersey locations, and I think those discussions have progressed well.
Ralph LaRossa: Yeah. And I would just add, Nick, just from a normal rhythm of transition for administration like this, in the way it works in New Jersey, there is a real focus now. First of all, let us staff up, and I think the governor has done a great job of getting a number of people in place not just in our industry, but in other areas that matter to the state run well. And I think the second thing they need to do is really focus on the budget for New Jersey. And so that is where my understanding from conversations we have had is the focus of the governor right now. When she gets through that process, I think economic development will be right behind that as an area of focus, and we are already having conversations on that. I chair, Choose New Jersey, about the role we will play in the organization and the areas of focus, but that has not been finalized yet.
Nicholas Campanella: Understand that this RBA process is going on right now. And there are discussions around extending the RPM collar for another two years and extending, you know, a, a week or two ago, a $4.20 per megawatt-day number was kind of thrown out there. Just what are your kind of thoughts on that? Okay. And then if I could just throw in one follow-up on through 2030, and then what is kind of embedded at the current cap rate in the plan?
Daniel J. Cregg: Look. I think embedded within your question, Nick, is the fact that you have got a market out there where you can see what things are looking like, but it will remain somewhat dynamic as you step through time. And that is the best information that we have as well. And so what we are doing is trying to look at what that looks like. I think we feel good about where we are and how it all fits together within the plan. But I think it is those same market signals that we see that you are seeing out there. I mean, a reminder, I would highlight the fact that the location of our facilities is in the PECO zone. So if you are thinking about pricing and trying to do math to figure out what this means in the out years, that zone is most highly correlated to the actual generator buses where we run. So West Hub trades north of that. We said it trades about 20% above what we would be seeing from where our generator bus is. And so it is those market points that we look at to try to derive where we are headed within the plan and what we put forth to you. And we think we are in a really good place against that backdrop, but that is what we look at as we go forward.
Nicholas Campanella: Okay. I appreciate the thought. Thank you.
Operator: Our next question is from the line of William Appicelli with UBS.
Ralph LaRossa: Morning, Bill.
Daniel J. Cregg: Rob, maybe you want to go to another one and see if Bill rejoins?
Operator: Sure. The next question would be from the line of Julien Patrick Dumoulin-Smith with Jefferies.
Julien Patrick Dumoulin-Smith: Hey, Julian. Hi, Julian. Hey. Good morning to you guys. Thanks for the time. I appreciate it. Look. Let me follow, and by the way, nicely done on the CAGR increase. Got to hand it to you guys. If I could, on the gist of what Shar and Nick were asking us about here. Let us talk about the overlap between the BPU here and what next steps are from both and how they might overlap. Right? Because clearly, there is a certain degree of legislative process of mutual alignment between the two in theory. Can you comment a little bit on timeline? I know Shar was kind of pressing at that as well here.
Ralph LaRossa: Yeah. Look. I think you are going to have a little bit of give and take that will continue as people find their footing in this new legislative area and how the regulator is going to work. The administration is finding their footing, but the administration recently introduced these two bills that would kind of direct the BPU to do certain things. The BPU has the ability to do certain things today. You know, go out and procure gas, to go out and procure new nuclear. Right? We had the exact process in the past. But they are limited in what they can do. So they could use a little more direction to make the process a little cleaner for them by some legislative changes. So I think I cannot tell you it is going to happen in the next 30 days, and I cannot tell you it is going to happen in the next six months. And it all comes out of the back end of the last 12 months of discussions about the need for us to change that balance somehow. The scarcity is there, and we have got load increases that have taken place across PJM, even if we do not have a data center in New Jersey, and we do have higher electricity costs from a supply standpoint. The load increases are happening right across the river, and it is impacting the pricing here in New Jersey. So I think the BPU has recognized that they do not want to be in the same level of import that they are. I mean, policymakers feel the same way, and they want a little more control over the pricing of the product that ultimately residents of New Jersey hold us all accountable for.
Julien Patrick Dumoulin-Smith: Got it. And if I can zero in a little bit, guys, on the 2026 guide here, and thanks again for your help earlier, how do you think about what the breakdown is between the regulated utility side of that year-over-year increase versus what is reflected in power? And then even within power, can you comment a little bit about where you guys are hedged? I know you said you are 95% for this year. Just comment a little bit about where you are relative to that floor, if you will. Want to make sure we are all on the same page here. Just as that starting point.
Daniel J. Cregg: Yeah. I mean, obviously, we are north of it because that is how we described it and how we put it out there. I think to go much beyond that, we would start to break down the pieces beyond what our overall guidance is. And so I think, just maybe repeating a little bit what I said before, Julian, if you think about what the market signals are that are out there, that is what we are leaning on. I would say that 2026, we gave you a 95% hedge. 2027, I think it is fair to say that we are largely hedged for that year. And in 2028, I think if you think about a ratable approach over three years that we have talked about, we have leveraged that liquidity to be able to hedge up a fair bit of 2027–2028, but 2029 and 2030 remain more subject to market forces as we go forward. Well, let me try this differently. How do you think about earned returns in the current year here for the utility and or what is implied year over year in growth on an EPS basis? Yeah. Look, Julian, I think we have been pretty clear about the fact that where the structural changes will make changes. And when the changes are not structural, we will look at what opportunity sets we have for maintenance activities that might be in a four-year cycle and try to look at that from a predictability standpoint for the investment community. So we look at our plans every year. We adjust to that. And, again, I just want to reinforce that we are really happy with the pattern that we have talked about from an earnings standpoint. We were really happy with the top end of the five to seven we have been running for the last couple of years, but we thought the scarcity issue of power was enough to change our thought process to be in that six to eight, based upon where prices are, driven by both the capacity and the energy side.
Julien Patrick Dumoulin-Smith: Excellent, guys. Thank you much.
Operator: The next question is from the line of William Appicelli with UBS.
William Appicelli: Yes. Hi, Ralph. Dan. Thank you. Apologies for that technical problem. Just maybe building on some of these other incremental regulated capital investments, and forgive me if you already addressed it and I missed it. But I guess, where in the spectrum would those fall? And what types of projects are we talking about there?
Ralph LaRossa: I think they come in really two buckets. Right? There is incremental transmission that is in the PJM region. We have been active in that process, and we are successful, as we have talked about a bunch of times, in Maryland. And we continue to look at those opportunities when they present themselves. There is a very specific effort going on in the state of New Jersey right now about being ready for solar. And the need for us to make sure that our distribution system is ready, that has been an ongoing process to continue to make sure that this focus on solar and batteries at the Board of Public Utilities, and there were comments received on that in the last couple weeks down there, if I recall correctly, can be enabled by the distribution system that they are going to be interconnecting to. And then the third bucket is the opportunity for us to participate on the generation side again, depending upon where policymakers land on that front. So I would say all three of those are the areas that we talk about around the table on a regular basis.
Daniel J. Cregg: And then on top of that, Bill, I would just add that, embedded within kind of the base plan that we have in front of us, things that Ralph mentioned could add to that. I would still characterize what we put out as the updated capital forecast as there is nothing in there that is a single project that is a huge part of the capital. It is all stuff that sits in front of us and is shorter term in nature, and we can kind of knock out without a whole lot of red tape that we have got to get through or challenges we have got to get through. It is just kind of a basic set of capital that we know we can achieve.
Ralph LaRossa: No. It is a really good point that Dan is saying. I mean, everything I just said is above and beyond. We are not building in a percentage of any one of those buckets as we put out this capital forecast. These are small projects that are really, 90% of them are being based upon end of life on the regulated side. So, you know, I have kind of been telling my family anyway, if you think about what we do every day in replacing the infrastructure, it is just like the Portal Bridge. For those of you that are in the New Jersey region and see New Jersey Transit delays right now as they upgrade that, the infrastructure in New Jersey is old and we have an opportunity to make upgrades as a result of that.
William Appicelli: Alright. No. That is very helpful. And then just one other one on the O&M side. I guess, what is embedded, you know, in the plan in the six to eight? On that front? Just to do at the utility level.
Daniel J. Cregg: Yeah. As we build our plan, and Ralph has often described it this way, we take a look at what is in front of us and whatever kind of an inflationary assumption we have there, and then we look to the businesses to try to pull back on that to end up in a more reasonable place from a cost-cutting perspective and overall cost management perspective. So, if you have got a 3% inflationary assumption, you can pull that down to 2% to 2.25%. Everybody is looking for opportunities within those budgets to try to move to a better place. So that is kind of how we structure it and how we move forward on it. We know that we do have our labor agreements that are running out through 2027, and those will get re-upped and have an effect as well. But we kind of lay out a baseline plan and then pull back some efficiencies to get to where our final plan lands.
Ralph LaRossa: Bill, it is relatively flat with some inflation, and then we back it off, as Dan said. I know some people think we talk about, you know, finding pennies in the couches, which I actually like. My wife and I still have a little bucket that we put our pennies in. So it is not the worst thing in the world to go looking for them because they all add up at some point.
William Appicelli: Okay. But some assumption on the re-upping of those labor agreements is reflected in this plan?
Daniel J. Cregg: Oh, yeah. That is all in there. There are no expectations of major dislocation there.
William Appicelli: Okay. Alright. Thanks very much.
Operator: The next question is from the line of Michael P. Sullivan with Wolfe Research. Proceed with your question.
Michael P. Sullivan: Good morning, Michael. Hey, Ralph. I think for a while now, you all have had in your slide deck over the forecast period 90% regulated earnings. Is that still true under this updated plan? Or any sense you can give us of what the mix is over the forecast period?
Daniel J. Cregg: No. I mean, what I would tell you, Michael, is I hope that number goes down a lot because that means power prices are going to go up. We are going to do better. I would think about the utility side of the business continuing to do what it does, and to the extent that we see some movement up from a power price perspective, given the demand-supply dynamic that you are seeing, you might see a modest shift there. And again, kind of the tongue-in-cheek way of saying it is I hope it goes down a lot because that means that we are doing better on the other side of the business. But I would not think about any major shifts compared to what we have seen in the past. It is going to be more modest as we step through time.
Ralph LaRossa: Okay. Michael, I may even go a little bolder than that. We have said this also for a long time in our decks. The PTC floor is a regulated-type return. And so when we think about it from that perspective, you could argue that the merchant is only above the PTC floor. Right? Because the federal government has regulated that PTC floor as the return for the nuclear plants. So I know it is not traditional regulated, but when we think about it from a risk profile standpoint, it sure feels a lot like that.
Michael P. Sullivan: Okay. No. That is totally fair. But it just sounds like you are not going to tell us what your merchant assumption is above, out in time.
Daniel J. Cregg: Well, we are going to tell you what our earnings projections are, and we are going to meet them as we have done.
Michael P. Sullivan: Okay. And then on the utility side, I just think, historically, the rate base kind of rebase of the CAGR has been a bit higher than we saw this past year. And anything to make of that? Or what is kind of driving that?
Daniel J. Cregg: Oh, from the standpoint of the baseline? Look. I would think about that rate base as growing the 6% to 7.5% that we have put out for the past couple of years. And I think that that is still consistent. I would say, to our credit, that has been on a growing base that for some years has been above that. And so continuing to grow 6% to 7.5% has been a consistent CAGR growth. To the extent that what you are implying is correctly that that rate base has grown more than that the last few years, we have continued to grow 6% to 7.5% off of that higher base, which implies a little bit higher growth.
Michael P. Sullivan: Okay. Great. Thank you.
Operator: The next question is from the line of Anthony Crowdell with Mizuho Securities. Please proceed with your questions.
Anthony Crowdell: Hey. Good morning, team. Hey, Ralph. You went to double game last night. I hear the opening ceremonies are really exciting. Was he the fan applauding in the beginning? I know there was some booing going on of some of the elected officials. That is awesome. Hey. I just have a cleanup question. I believe the BPU is in a 180-day pause right now coming from the governor's executive order. I believe it is a 180-day pause of no increase in rates. Just curious if that includes outcomes of any of the rate riders. And then also, if you could talk about what happens at the end of the 180-day pause, maybe some of the things changed by the prior administration.
Ralph LaRossa: Our esteemed CFO did. We did not make it down there last night, but our esteemed CFO did.
Daniel J. Cregg: It was fantastic. Anthony, all I heard was USA chants, and they were deafening. It was fantastic. No. So, the pause that they put in place was on regulations that were passed in the months leading up to the election. And so they paused them. I do not know if it is 180 days or 90 days, but they basically said, hey, listen. If we were going to change the speed limit on the Turnpike and that was a change that was put in place by the prior administration, it will not go into effect for another 90 or 180 days. And so there were a few things there that were on the fringes to our business, but nothing after we did the review that would impact our business. And I mean that from a labor-wage standpoint, from a benefit standpoint, from any of the above. So no impact on that as a change, but those regulations were regulations that were changed by the prior administration in the months leading up to the election.
Anthony Crowdell: No. That is fine. I know you are looking for pennies in the couch, but do you know when the 90-day ends?
Daniel J. Cregg: Yeah. No. It is 90 days after she took office. So I want to say it is April, May. I think she took office on January 12 if my memory is right.
Anthony Crowdell: Perfect. Thanks so much.
Daniel J. Cregg: Thanks, Anthony.
Operator: Our next question is from the line of Jeremy Tonet with JPMorgan.
Jeremy Tonet: Hi. Good morning. 
Daniel J. Cregg: Good morning, Jeremy. 
Jeremy Tonet: Alright. Thanks for all the color today. Just one last question for me. As we think about future generation in the state of New Jersey, you have talked about the ability to host SMRs in the past. I am just wondering any updated thoughts you might be able to provide on how likely that is to, I guess, come to fruition or just thoughts on the topic in general.
Ralph LaRossa: Yeah. I would put our—look, if we were advocating, we are advocating on a nuclear front for big nuclear. We think that that makes the most sense based upon our property and our footprint. But there could be other places where it makes sense for people to put small SMRs and to try that technology out. I think also from a gas facility standpoint, we have said that we have a site that makes a ton of sense where we have pipes and wires ready to it as well. So, yeah, SMRs, from our standpoint, would not be the highest and best use of our property. Remember, our early site permit is technology agnostic. So we could go in any direction on that. But we would be open to people if that was really what folks wanted us to enable.
Jeremy Tonet: Got it. That is helpful. I will leave it there. Thanks.
Operator: Our next question is from the line of Nicholas Amicucci with Evercore ISI.
Nicholas Amicucci: Hey, good morning, Ralph and Dan. How are you? 
Ralph LaRossa: Good morning, Nick. 
Daniel J. Cregg: I would hold on to those pennies because there is probably some scarcity value associated with that. 
Ralph LaRossa: Exactly. Exactly. They add up. 
Nicholas Amicucci: Yeah. So actually wanted to kind of continue down the nuclear rabbit hole here if we could for a little bit. Just as we think about, you know, kind of the nuclear fuel and how you guys are hedged out through, you know, over the course of the capital plan. Just knowing that, you know, Russia is kind of going offline in 2028. How are you guys kind of—are you guys kind of front-loading or kind of prebuying any type of nuclear fuel just to ensure that, you know, affordability kind of does not go too haywire?
Daniel J. Cregg: Yeah. Look. When I start thinking about nuclear fuel, the first thing I think about is the fuel in the reactor because that is most of what we are going to be using for the next couple of years. Then I look to where we have contracted, and we are contracted out for the next few years for most of what we are going to need. I also think about what is going to be purchased from places where we are going to purchase from. And if I think about movements with respect to supply-demand pricing, you could see some modest movements in prices, but I do not think anything that is going to be all that dramatic. Prices that sit somewhere around $50 and fuel that sits somewhere around $78 on the overall scheme of things. The availability is a critical aspect for us, and I have no question that the fuel that is being produced is the fuel that is going to be produced. And if Russian fuel does not come here, Russian fuel will go somewhere, and that will displace fuel, and we are going to continue to see availability. It is only when you get to the tail end of that five-year period when things are going to change. And, not to get too deep into world markets, but I think conceptually, we are hedged out for the next couple of years in pretty good shape, and you could see some modest movement in prices.
Nicholas Amicucci: Got it. Great. And then if I could as well, I know, Ralph, you have been kind of a big proponent on more large nuclear relative to SMRs. But I think if I understand correctly, Governor Sherrill is more—she is, just given her naval background, more in tune with SMRs. But is there anything, any kind of, I guess, appetite from her just given that, you know, we did have, a couple months ago, the DOE type of procurement of the 10 AP1000s. I mean, is there any opportunity for you guys to partake in those allocations, the Brookfield Westinghouse selection?
Ralph LaRossa: Yeah. Look. I think we have said we will continue to educate and advocate on behalf of the state probably to a nauseam now. And so we will be there advocating that we want to help enable exactly that. I do not want to predetermine a selection for something like an AP1000. I think that is one that it appears that DOE is firmed up on, but I also hear that all the i’s are being dotted and t’s crossed. So we will be there advocating as far as we are going right now. And I think the education that is ongoing for the incoming administration is something that we are also trying to help with.
Nicholas Amicucci: Perfect. Thanks, guys.
Daniel J. Cregg: Thanks.
Operator: Thank you. Our last question is from the line of David Arcaro with Morgan Stanley.
David Arcaro: Hey. This is Amanda on for Dave. Thanks so much for taking my questions. 
Daniel J. Cregg: Hi, Amanda. 
David Arcaro: Hey. So maybe lastly, just on the executive orders, how are you thinking about the scope of the current BPU study? And are there any financial impacts currently contemplated in the long-term plan based on any potential changes? Or do you think it is still too early to assess those changes?
Daniel J. Cregg: Yeah. I think it is too early right now. There are a lot of conversations going on. You can look across the country and see a number of different ways that things have changed from a regulatory standpoint and how utilities have been compensated for the utilities that have been involved. We have looked at many of those, and I think many of those at the end of the day have worked out. It is just a different way of thinking about things and providing those returns for those utilities. So we have not changed. We have not put any different regulatory process in place in the projections that we have made. But we fully expect that the outcome is going to be an outcome that makes sense for both us and for the customers.
David Arcaro: Great. Thanks so much. And maybe just a quick follow-up. With the two new commissioners in the BPU, any initial comments on conversations with them, just based on the first few months of their appointment?
Daniel J. Cregg: Yeah. No. Our team has continued to meet with folks, but our conversations have been limited to, I would basically put it, meet and greets at this point.
David Arcaro: Got it. Thanks so much again.
Operator: This is all the time we have for questions. I would like to turn the floor back to Mr. LaRossa for closing comments.
Ralph LaRossa: Thank you, Rob. I had a couple of comments prepared, but I actually started this call, as you heard, talking about the great work of our team. During the last storm, our facilitator here today, Rob, actually started our morning off by thanking us for the work that was done and communicated during the storm. So I just want to reinforce the thank you to the team. We can talk all we want about finances and the outcomes that we have here, but if we do not deliver on our operational mandates day in and day out, no regulatory construct is going to matter for us, and our plants will not run. So I thank the employees every day. And when I get comments like we just received from Rob when we opened up this call, it makes it all worthwhile. So, Rob, thank you, not only for facilitating the call, but for reinforcing for all of us that what matters is the work that is being done day in and day out by our employees in the field. With that, thank you, Rob. We are going to be out quite a bit over the next month and a half and look forward to seeing you and the in-person conversations.
Operator: Ladies and gentlemen, this concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.